Operator: Welcome to the Oshkosh Corporation fiscal year 2009 second quarter financial results conference call. (Operator Instructions) As a reminder this conference is being recorded. It is now my pleasure to introduce your host Mr. Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation.
Patrick Davidson: Earlier today we published our second quarter results for fiscal 2009. A copy of the release is available on our web site at www.oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which is also available on our website. The audio replay and slide presentation will be available on the website for approximately 12 months and please refer now to slide two of that presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include among others matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements which may not be updated until our next quarterly earnings conference call, if at all. On March 31, we announced that we would be recording non-cash asset impairment charges of approximately $1.2 to $1.5 billion in our second fiscal quarter. The actual amount of the impairment charges totaled $1.2 billion pretax and $1.17 billion net of tax. Unless stated otherwise, all figures and data that we discuss today will relate to our performance excluding the non-cash asset impairment charges. For the purposes of our discussion today, we believe that excluding impairment charges is the best was for you the participants on this call to better understand our operating performance. A reconciliation of these non-GAAP measures to the most comparable GAAP measures can be found in the last slide of our presentation, as well as in our earnings release both of which are available on the website. Presenting today for Oshkosh Corporation will be Bob Bohn our Chairman and Chief Executive Officer, Charlie Szews our President and Chief Operating Officer, and Dave Sagehorn Executive Vice President and Chief Financial Officer. Let's begin by turning to slide three. I'll turn it over to you, Bob.
Robert G. Bohn: Oshkosh, similar to most companies, continues to face a series of challenges caused by weakened markets and other factors that are related in some way to the global recession and tight credit availability. In response to these challenges, we are continually striving to capture potential sales opportunities, reduce our cost structure and drive cash flow generation to sustain the business during these uncertain times. There were several notable activities completed by Oshkosh during the quarter that demonstrate our proactive management during these difficult times. One of the most important for many of our investors was the amendment to our credit agreement. Obviously, we would have preferred to avoid seeking an amendment, but we were pleased with the outcome, especially given the difficult credit environment in which we were negotiating. In connection with the amendment with our credit agreement, we agreed to limit capital spending and dividends our board has decided to suspend payment of dividends at this time. We continue to work on cost reduction actions during this quarter raising our expected fiscal 2009 overhead and operating expense savings from $150 million to more than $200 million. We expect to achieve this higher level of cost reduction by implementing comprehensive actions that touch all areas of the company. Since our last earnings call in January, we have reduced wages for all salary domestic employees with larger wage reductions at the senior executive level. Furthermore, we have eliminated all bonuses for fiscal 2009, implemented periodic furloughs for salary and production employees at corporate and in most businesses in the company, eliminated our 401(k) match for fiscal 2009 for most employees, and implemented further reductions to marketing, information technology, travel, and other spending. We've also reached agreements with our suppliers to rollback virtually all material cost increases that were granted in fiscal 2008 and early fiscal 2009 when commodity costs were rising sharply. We expect the benefits of the lower negotiated cost to phase in over the remainder of fiscal 2009 as we burn off inventories of higher cost materials. This was a significant effort. I thank our team and our supply chain partners for supporting us in this important project. The efforts of our supply chain professionals are being matched by our sales teams as they pursue additional revenue opportunities. Our sales teams are focused on every potential profitable sale and I am proud of their drive and determination. We are continuing to see share gains in several of our key markets, which we would expect as many customers tend to migrate to market leaders in these difficult challenging times. Additionally, we've been accelerating our lean activities and are pleased that we've been making strides in improving our production lead times at a number of our businesses. These improvements allow us to be more flexible and responsive to the volatile demand we've experienced during this recession. We also continue to focus on cash generation. We were able to reduce our inventories by 75 million in the second quarter. That's no small feat when considering that demand in some of our businesses was down 70% to 80% in the quarter. This reflects improvement to our sales, inventory, and operations planning processes as we seek to be more nimble to react to changing demand. And we have sold and offered to sell various facilities that have been idle during this downturn. We will continue to pursue avenues for cash generation. We believe that our actions to reduce costs, coupled with our sales and cash flow outlook and recent amendment to our credit agreement, will allow us to weather the current economic storm. We will simply do what is necessary to work through this period of prolonged economic weakness. Let's turn to the next slide and review the quarter please. Our sales in the second fiscal quarter reflect what has been happening with the broader economy. Significant sales growth in our defense segment, as well as certain other businesses, wasn't enough to overcome significantly lower sales in many of our other businesses, particularly those with exposure to construction markets. For the quarter, we reported net sales of $1.3 billion a decline of 26.9% from last years second quarter. Our lower sales led to operating income of $22.6 million and a net loss of $17.7 million excluding the non-cash impairment charges of $1.2 billion that we took in the quarter. We are obviously disappointed with the need to record this and these impairment charges, but the greater severity of the global recession compared to our previous expectations coupled with the near-term outlook for a number of our businesses that is lower that we previously anticipated and our low share price over prolonged period of time, led us to test for impairment. At the end of the second quarter, our share price has been below book value for approximately six months, which is generally viewed as a point at which this becomes an indicator of impairment. We continue to believe that our company and our market leading businesses have strong long-term prospects and we will perform well in the next economic upturn. We had a very successful track record prior to this deep, deep recession and we will put forth every effort to restore that track record going forward. In spite of the disappointing results in the second quarter, we used available cash to reduce our debt by $174.4 million in the quarter and we remain committed to driving additional debt reduction in the remainder of fiscal 2009. I mention that our inventories were down 75 million since last quarter and they're down more than 250 million since last years second fiscal quarter. We must remain diligent and focused as we work to continue to reducing this component of working capital. Please turn to slide five and I'll provide our view on current business conditions. Looking ahead into the second half of fiscal 2009, we expect first half trends to largely continue. Namely we have strong backlogs in defense, fire apparatus, airport products, and domestic refuse collections vehicles to permit these vehicles to perform well in the second half of fiscal 2009. And we have multiple new sales opportunities in these businesses from the mind resistance ambush protected MRAP all-terrain vehicle or the M-ATV competition in our defense segment to compress natural gas conversions in our commercial segment, as well as lean initiatives to further enhance performance. Conversely, our access equipment and concrete placement businesses are facing more severe downturns than at any time in our histories. General economic weaknesses and tight credit are also hurting sales in these and most of our other product lines. So, we plan to do whatever it takes over the next 6 to 12 months to manage through the worst recession since the great depression and lay the groundwork for all our businesses to emerge stronger in the eventual economic recovery. With that, I'll turn it over to Charlie for more detailed discussion by segment.
Charles L. Szews: Please turn with me to slide six and we'll get started. In the second quarter we experienced the full force of the global recession in our access equipment segment. Never before has JLG experienced as rapid a decline demand as in this recession. Equipment sales were down roughly 80% in Europe, 70% in North America and 70% in the rest of the work in the second quarter. Our sales teams were on every major deal but passed on some that just made no economic sense. There remains too much inventory in the industry and that is driving some desperate deal making. We were forced to make multiple [donor] adjustments to our production schedules during the quarter to reflect much lower demand than we had expected. We believe that equipment utilization and rental rates, which were down only modestly in our first fiscal quarter and now noticeably lower. Limited credit availability and general uncertainty about the economy have forced some customers to the sideline while others have chosen to conserve their capital and age their rental fleet assets. Now, we do expect a small seasonal uptick in our access equipment business in our third fiscal quarter as weather permits more construction activity and refurbishment. In recent openings of modest sales and service centers in Sao Paulo, Brazil, Perth, Australia, New Delhi, India, and Singapore should support our sales efforts in markets that are relatively solid. We're just beginning to understand the value proposition from the use of access equipment. As we consider where and when the U.S. stimulus package might impact our businesses, we do not expect to realize any substantial positive impact to our access equipment business in fiscal 2009. However, we are hopeful that projects funded with stimulus package money will start and contractors will begin buying and renting JLG equipment for use some time in our fiscal 2010. At this time, we cannot make an estimate on how much that impact would be in terms of revenues. We are very aggressive in addressing the economic downturn by lowering staffing levels early, generally reducing our cost structure and curtailing production. Bob described the results of additional rounds of cost reduction during the quarter in response to sustained weak demand, as well as our efforts to rollback material cost increases granted in fiscal 2008. We have now reduced staffing at JLG by more than 40% and greater than 50% than a full time equivalent basis when considering production shutdowns and furloughs. We will do what's necessary to manage this business during this steep recession. But as the industry leader, we will retain critical support for our customers around the globe. Please move with me to slide seven and let's take a look at defense. There's a lot of good news in our defense segment, which just posted another strong quarter driven by new vehicle sales. We welcome the new segment President, [Andy Ho] into the company and put him right to work getting involved in our efforts to retrofit many of the U.S. Department of Defense or DOD MRAP vehicles with our TAK-4 independent suspension, our M-ATV bid as well as other opportunities. We expect [Andy] to help elevate our performance in some of these and other defense contract competitions, and we are excited to have him on board. We were pleased to announce two weeks ago a $122 million subcontract upgrade Force Protection, Inc. MRAP vehicles with our TAK-4 independent suspension. Our TAK-4 outperformed other suspension alternatives in off-road competition and provided significant improvement to MRAP mobility in even the toughest terrains, Afghanistan type terrains. This is the same suspension that has made our medium tactical vehicle replacement, our MTVR for the Marine Corps a preferred choice for off-road missions and has improved the capability of numerous Pierce fire trucks and Oshkosh aircraft rescue and firefighting vehicles. We are actively testing this suspension on another MRAP vehicle and will be proud to support the troops we are called upon for the retrofit of this and other MRAP models. We have a solid backlog in defense and the recent fiscal 2009 supplemental funding request gives us visibility well into our next fiscal year. If the present supplement requests were to be passed as it currently being published, we would have capacity to supply the vehicles in the request and have capacity for additional products should we win any of the major competitions that we're involved in currently. We continue to pursue the M-ATV competition. This program calls for minimum of 2,080 vehicles and at this time we anticipate a final decision some time in late May or June. Whether the decision is for a lone supplier or a dual source, we are ready. We have the production capacity and we're more than able to supply the DOD what they would need. Our M-ATV delivers extreme off-road mobility and features armor from Plasan, the company that has supplied armor for more than 5,000 MRAPs. Also our vehicle features that same TAK-4 independent suspension that's currently being retrofitted into existing MRAP vehicles to improve their off-road mobility, a critical requirement of this competition. Finally, we delivered five MTVR based units to the Australian Defense Force, or ADF, in the first week of April for the Land 121 competition. To remind you the, ADF basically reopened this competition when the initial preferred bidder was unable to deliver a truck that adequately met the requirements. These vehicles will be tested for approximately nine months, and then the ADF will inform us of the next phase of the competition. I'd like to close on defense by thanking [John Sowers] for his many years of hard work, dedication and leadership of our defense. [John] retired as president of the segment in February after 14 years of service with Oshkosh. And while his gregarious presence will be difficult to replace, we believe we have the right leader in [Andy Ho]. Please turn to slide eight to discuss our fire and emergency segment. Pierce fire apparatus and our airport products business both experienced another strong quarter as they continue to outperform the competition in difficult markets. Although we have full backlog at Pierce for fiscal 2009, we did start to see the slowdown in order rates that we talked about in the last conference call. However, we expect Pierce to continue to gain share in this weaker municipal spending environment as we capitalize on multiple recent product launches and an energized sales team. Both Pierce and Medtec were well represented last week at the 2009 Fire Department Instructors Conference Show in Indianapolis. Pierce continues to standout in the industry with 15 new and exciting products, most noticeably are the Responder, the value priced commercial pumper launched to serve the needs of firefighters in rural locations in a recession, another extension of the PUC lineup, or Pierce Ultimate Configuration Pumper lineup, as well as a 105-foot steel ladder and a rear-mount 100-foot aluminum platform aerial. The airports products business once again had brisk order activity in the second fiscal quarter, particularly in international markets to support global airport expansion and replacement needs. The longer term outlook for this business remains strong in part, because we are confident in our belief that airport building projects in non-U.S. markets will continue. For example, China's airport authority has not stopped building new airports and the country is still expected to add more than 90 new airports by 2020. Several businesses in this segment continue to be challenged in the current economic environment. We're focused on driving operational improvements at these businesses and pursuing adjacent markets to help improve their profitability in both good times and in bad. Now, please turn to slide nine for a discussion of our commercial segment. Much like the situation affecting our access equipment business, our concrete placement business is facing industry that is simply not spending on new equipment. Since our last conference call, we've continued to work on lowering the cost structure in this business with an objective of driving profitability during difficult times. We are the market leader in North American concrete mixer sales and will continue to do the things we believe we need to do to weather the current storm until the eventual upturn in the market. Our service truck business is also experiencing weak demand for its products as the economy has impacted more and more businesses. Now, domestic refuse collection vehicle demand remains relatively stable in a market that has started to feel the effects of a weak economy and softer municipal spending, a strong position with the larger private fleet customers aiding our performance. Additionally, we're really excited about receiving our first order for refuse collection vehicles for New York City. We expect to begin shipping those units in our third fiscal quarter. We continue to be cautious; however, as we believe the economy could increasingly impact orders in this business. We continue to be excited by our customer response to compressed natural gas vehicles. We are seeing more and more requests for reduced emissions, CNG powered vehicles. We're uniquely positioned to offer these configurations to companies in municipalities that are looking for economical solutions with reduced emissions. McNeilus just won a bid with [Groot] in the Chicago area for 20 vehicles and we are involved in several other CNG bid competitions. With respect to any impact from the U.S. government's economic stimulus package, we have a positive outlook for this segment, but it's a mixed bag for timing. Much like what we said regarding access equipment business, we do not expect significant impact in fiscal 2009 for our concrete products business. We are more optimistic that 2010 will bring projects that should create demand for batch plants and mixer trucks. Furthermore, we are excited about direct and indirect stimulus funding for alternative fuel vehicle purchases, especially for our CNG powered refuse collection vehicles. Exact amounts and timing are tough to predict at this time, but we think that there will be some amount of sales in fiscal 2010 that will result from this funding. To wrap up in this segment, a note that we're making progress and improving efficiencies at the Geesink Norva Group is to consolidate manufacturing in the Netherlands. We are in the process of further reducing staffing at this business. That's a brief overview of our operations. Dave, please take it from here.
David M. Sagehorn: Please turn to slide ten. Before I take you through our financial results, I'd like to review the highlights to the recently completed amendment to our credit agreement. Of course the reason we completed the amendment was to provide ourselves with headroom under our financial covenants, namely our leverage and interest coverage ratios. Since we completed the amendment, we've been asked about how much room we have under our covenants. Credit markets currently aren't conducive to setting covenant levels that you can drive a truck through, but we're committed to doing what we believe it will take to avoid violating a covenant. The non-cash impairment charges we recorded in the second quarter have no impact on the financial covenants or on our cash flow. Post amendment, our interest rate spread is LIBOR plus 600 basis points, or approximately 450 basis points higher than immediately prior to the amendment. For much of the past year our LIBOR spread was 175 basis points, so on a blended basis the new spread is closer to 425 basis points higher compared to the prior 12 months, and we don't have a LIBOR floor. This rate will go up by another 50 basis points if we are downgraded and put on negative watch by either Moody's or S&P. The approximately $20 million in fees we paid upfront for the amendment are being amortized over the remaining life of the credit agreement. The amendment also limits our ability to make capital expenditures, pay dividends and make acquisitions. As Bob noted earlier, we're pleased to have the amendment behind us. Now, let's turn to slide 11 and take a look at our financial performance. Consolidated net sales of $1.3 billion for the second fiscal quarter were down 26.9% compared to the second fiscal quarter of last year as increased sales in our defense and fire and emergency segments were not enough to offset significantly lower sales in our access equipment and commercial segments. The decline in operating margin was primarily due to significantly lower absorption of fixed costs due to lower sales, higher priced materials that are still working their way through the system, especially at our access equipment segment, and an adverse sales mix. We also recorded $3.8 million of restructuring costs in the quarter. Partially offsetting these items were lower operating expenses as a result of our cost cutting efforts. Operating expenses in the second fiscal quarter were 23.2% lower than the prior year quarter. In total, we recorded a net loss per share for the quarter of $0.24. Interest expense decreased by $12.6 million in the second fiscal quarter compared to the prior year quarter due to lower debt outstanding and lower interest rates prior to completing our credit agreement amendment. Interest expense will go up substantially beginning with our third fiscal quarter, despite lower borrowings as a result of the amendment to our credit agreement. We recorded a tax benefit in the quarter of $3.3 million or 15.7% of the pretax loss. The reduction in the effective tax rate for more typical levels was largely the result of the reversal of a portion of a European tax incentive. This was partially offset by discreet tax benefits during the quarter related to the company's other foreign operations. As Bob mentioned earlier, we paid down $174.4 million in debt during the quarter and had $107.7 million of cash in short-term investments on hand at March 31. The whole Oshkosh team remains fully committed to delivering debt reduction in both up and down markets. Now, let's take a look at each of the segments in detail. Please turn to slide 12. Access equipment sales were $249.2 million in the second fiscal quarter, down 69.4% compared to the same period last year. New equipment sales declines was most severe in our Europe, Africa or Middle East, or EAME region, which was down about 80%. Equipment sales in North America and the rest of the world were each down about 70% in the quarter. Sales of aerial work platforms, which generally have higher margins than telehandlers, were down a greater percentage than telehandlers as a decrease in nonresidential construction continued to catch up to the downturn in residential construction. The segment recorded an operating loss of $49.1 million compared to operating income of $123.6 million in the prior year quarter. Similar to the first fiscal quarter of 2009, operating margin was negatively impacted by sharply lower volumes and the related under-absorption fixed costs, un-recovered material cost increases, which negatively impacted margins by approximately 700 basis points, and a product mix shift to a higher percentage of lower margin telehandlers. While steel and other commodity costs have decreased and we are now buying at levels that are comparable to last year's costs before the run up in commodity costs, the access equipment segment still has a significant portion of its inventory that is comprised of higher cost material that will need to work through the income statement. Our cost reduction efforts have helped offset some of the impact of the lower sales in this segment. Backlog for access equipment was $98.5 million at March 31, 2009, a decrease of 89.1% compared to March 31, 2008. The current backlog reflects the extremely cautious approach customers are taking at the current time. Please turn to slide 13. Defense segment sales were $590.2 million, up 30.9% compared to last year's second fiscal quarter due to continued strong demand from the department of defense for new trucks. Operating income increased 25.7% to $75 million compared to $59.7 million in the prior year quarter. Operating income margin in the quarter declined to12.7% compared to 13.2% in the second quarter fiscal 2008. The decrease in operating income margin was largely a result of a higher percentage of sales this quarter from truck shipments under the lower margin family of heavy tactical vehicles, or FHTV contract, as well as costs to support several programs that our defense group is pursuing. Backlog in this segment was $2.4 billion at March 31, 2009, up 60.6% compared to March 31, 2008. The increase in backlog was largely the result of several large contract awards for our FHTV products. Please turn to slide 14. Turning to fire and emergency, sales increased by 7.7% to $293.1 million compared to the prior year's second fiscal quarter due mostly to strong Pierce and airport product deliveries that more than offset weaker towing and recovery sales. Operating income in this segment increased to $24.7 million or 8.4% of sales compared to the prior year quarter due largely to increased volume and a better product mix. Compared to prior year, fire and emergency backlog was up 8.9% to $680.4 million on March 31, 2009 due mostly to higher fire apparatus backlog related to continued market share gains and several strong quarters for orders. Please turn to slide 15. Commercial sales decreased 24.7% to $188.9 million in the quarter. The decrease was driven by substantially lower sales of concrete mixers and batch plants. This segment incurred an operating loss of $8.2 million or 4.4% of sales, compared to a loss of $5.5 million or 2.2% of sales in the prior year quarter. The adverse change in operating margin was the result of significantly lower volume partially offset by improved results at Geesink and cost reduction activities. Backlog for the commercial segment at March 31, 2009 was $132.1 million down 46.7% compared to March 31, 2008 on significantly lower backlog for concrete placement products. Please turn to slide 16, and I'll turn it back over to Bob.
Robert G. Bohn: For the next 6 to 12 months we expect our company to face a mixed outlook, likely resulting in a consolidated loss for the full year excluding the impact of the impairment charges recorded during the quarter. Our defense, Pierce fire apparatus, airport products and domestic refuse collection vehicle businesses should continue to perform well on their current backlogs and multiple business opportunities. In particular, our defense group is competing for several programs that we'll be deciding in the next two to three quarters. But in our other businesses we will continue to face difficult, and in some cases, very difficult market conditions until the global economy and the credit market stabilize. Through this period we expect to continue to launch strong new products that our customers desire and value. We will continue to build and strengthen our distribution. Leading our markets with the best products and aftermarket support has been, and will continue to be part of Oshkosh's approach to winning in the marketplace whether we are in a recession or in an economic recovery. We have strong, strong brands that are second to none and we are committed to keeping them there. Of course, we will also continue to aggressively manage our cost, inventories and cash flow. We will maintain an intense pursuit of every potential sales opportunity and do what we believe it takes to manage this business until there is an economic recovery. Oshkosh is built strong, and we expect to power our way through this recession. With that, I'll turn it back over to Pat and [Melissa] the operator for questions.
Patrick Davidson : I'd like to remind everyone to limit their questions to one plus a follow-up. Please avoid questions with multiple subparts, as this sometimes gets difficult for us to follow and will ensure that everybody gets a chance to participate. After the follow up, we ask that each participant get back in queue to ask additional questions and we'll take as many as we can. Operator, [Melissa], please begin the Q&A and we'll get started.
Operator: (Operator Instructions) Your first question comes from Charlie Brady - BMO Capital Markets.
Charlie Brady with BMO Capital Markets: With respect to the JLG business, you guys have obviously been taking a lot of cost out as quickly as you possibly can there, but I guess I'm just wondering, the market is still soft and where it is, how much more can you take out of there to stabilize the margins? And then as a follow-up to that, as we look into the inventory level to the company as a whole, where do you see inventory reductions in the second half, and kind of where do inventories and JLG specifically look today relative to a year ago?
Charles L. Szews: Okay, now there are multiple subparts there. I'll take some and then I think Dave will take some more okay? Okay, let's see, for JLG, we do believe that there's additional cost reduction that we can do that will help us stabilize margins as we proceed over the next few quarters. Probably the principle thing that we've done and Bob suggested that in the call is that we have now been able to get through all our supply base for JLG, have recovered all the cost increases or negotiated recovery of all the cost increases that we had to endure when commodity prices doubled. And in fact, we really didn't see the cost spot prices and steel come down until January in some of the product lines, so we negotiate all the recovery. We do have to wean some of our inventory, our higher cost inventory out through the P&L and that's exasperated by the fact that we've got lower sales. But we see the end of the tunnel there and progressively as we go through the fiscal year, we should start to see our material cost structure improve and then I think by fiscal 2010 we'll be in pretty good shape. So I do think that will be a tailwind to help our margins. We've also worked really, really hard at getting our staffing and our variable costs in that business to match the marketplace. Having said that, we've maintained limited investments where it's really important in certain service areas around the globe, we're going to continue to provide the best service in the industry and customers are recognizing that in this downturn. On the inventory, Dave, you want to comment?
David M. Sagehorn: Charlie, year-over-year JLG's inventories are down about $145 million and as we look forward to the rest of the year here, we do think we have an opportunity to take somewhere between another $50 million to $100 million out of inventory in that business.
Charles L. Szews: And it's basically being done by very aggressively addressing our production [scale].
Operator: Your next question comes from Alex Blanton - Oshkosh Corporation.
Alex Blanton – Oshkosh Corporation: I'd like to continue on that inventory theme. If you look at the inventory as a whole for the, the end of the quarter was $915 million. That was down about 3% from last September. However, the cost of goods sold were down 32% and sales were down 29% from September, so the turns went from 6.9 turns to 5. Now if you'd maintained the 6.9 turns that you had at the end of September, your inventory would have been $240 million lower and you would have generate that much cash. So I don't understand why inventories aren't down a lot more than they are. And the second, I don't want to ask a multi-part question. That's the question, why aren't inventories down more? And then the material side, at JLG, the last time I was there, there was one day's supply of engines, there was a few days' supply of steel. So I'm having a really hard time understanding why the material cost reductions that you've negotiated haven't shown up yet. I mean, I didn't see a lot of raw materials on hand the last time I was in that plant.
Charles L. Szews: Okay, Alex, in terms of inventory, first of all we've got a mix, if you look at some of our businesses we're actually looking at business picking up here in the second half of the year.
Alex Blanton – Oshkosh Corporation: But the mix is reflected in the sales, is it not? Sales are down, inventories or not.
Charles L. Szews: Alex, let me finish.
Alexander Blanton – Oshkosh Corporation: Okay.
Charles L. Szews: So we've got defense business, fire business, and our refuse collection vehicle businesses where we're expecting some higher volumes and so we're going to be shipping that over the next six months and so we've got some inventory builds offset by, for example, at JLG, a situation where sales just went down 70% in a quarter and progressively the demand fell as the quarter goes, so you're aggressively reducing your production schedules to match that and as you go through a quarter, just to be able to keep inventory flat in that kind of an environment is a hell of an achievement. Now, by the time the year is over, we do expect to get our inventory down to JLG, like Dave said another $50 million to $100 million. Most of the inventory that you were talking about here is in finished goods and that's why it's hard to get it to the P&L, we have to sell the finished goods. Quite a bit of that is in Europe where demand is down 80%. So you have vehicles product that you can only sell in Europe because it's made to CE standards, and you have to have the demand in that particular market to get it, to sell it and then to get that higher cost inventory or material cost out of your books.
Alexander Blanton – Oshkosh Corporation: Some of that's on ships too, is it not? Going to Europe?
Charles L. Szews: No. Not at this time.
Alexander Blanton – Oshkosh Corporation: Now what about the raw materials costs I asked about? I mean, I didn't see a lot of raw materials on hand the last time I went to that plant, so why is it taking so long for those raw material cost savings to show up? It should be showing up in a few days.
Charles L. Szews: Well, we have contracts. Our suppliers also have inventory that they purchased under contracts and so to get it through the system, it takes a little bit of time. It took a little bit of time to get the higher cost into our system and it's going to take a little bit of time to get it out of the system. And I could tell you, we've had good support back from our supply base. They haven't always wanted to support it, but they understand the situation I suppose, and we're trying to balance the inventory in our supply chain, as well as our own.
Alexander Blanton – Ingalls & Snyder: When were those price negotiations finished and effective?
Charles L. Szews: Well, again, we started to take, and then we're going to take another question, Alex, we started to take cost reduction already in the fall. But, if you recall, steel went down in steps and it didn't hit the bottom really until late January. In fact, we just had a couple of grades that just went down the last month. So it's not like everybody thinks that everything hit the bottom at the same time, it did not. The bottom on one particular grade of steel hit the bottom in the last month. For most of it, it was by the end of January.
Robert G. Bohn : Alex, this is Bob. You can bet that Craig Paylor and his team, they're monitoring this and measuring it on a daily, weekly basis, along with Charlie and Dave. They're on top of the situation and I'm pleased with what they've been doing.
Operator: Your next question comes from Steve Barger – Keybanc Capital Markets.
Steve Barger – Keybanc Capital Markets: Sticking with JLG for a minute, with lower op material costs and a smaller headcount, can you get to a single-digit negative operating margin if you're putting through $250 million to $300 million through the new cost structure? And can you just give us some sense of what the breakeven revenue level is in that business?
David M. Sagehorn: Steve, obviously, we do have the material cost issue, which is impacting us there. I think we also have a sales mix that's a little different than we would normally see today, with the higher percentage of telehandlers than historical. And as I think we've described they do generally have lower margins than AWPs. We don't think that's something that's permanent and I think as you factor in those two things alone. We also took, of the $3.8 million of charges in the quarter, restructuring charges, a majority of that was JLG. So I think you start adding all those things together and we think it's very achievable to get back into a single-digit loss at these levels, anyway, as we look forward.
Steve Barger – Keybanc Capital Markets: And you did mention a seasonal uptick in access, is that a substantial revenue increase you think, potentially sequentially or something more modest?
Charles L. Szews: Our mark's at a modest uptick and that's basically what it is. Obviously, you see the weather getting better, so you see more cream and orange around the country as we're traveling on jobsites and out doing work. And as the stimulus package comes into play, I think you're going to see even more cream and orange around the country.
Steve Barger – Keybanc Capital Markets: Just one more and I'll get back in queue, just to follow up on that. If you see a sequential uptick in your fiscal third quarter, is that possible in the fourth quarter as well, as stimulus starts to flow or would you expect that to tail off in the back half or in the back last quarter?
Charles L. Szews: It's a different environment to be able to predict and generally what I would say is that our fourth fiscal quarter in access is our second best quarter of the fiscal year in access equipment. So that's generally the way the seasonal pattern would be, so we'd expect it to be a little bit less in the third fiscal quarter but still on a relative basis, more robust than the rest of the fiscal year. That's kind of the typical pattern. Whether or not that repeats itself, you know, we're in a little different environment.
Operator: Your next question comes from Jamie Cook – Credit Suisse Group.
Jamie Cook – Credit Suisse Group: Just a follow-up question, well, you talked about taking $50 million to $100 million out of inventory for JLG. Can you talk to us about what you're targeting in other divisions and how you're thinking about your receivables at these levels and how low can they go, just as I think about free cash flow for the year? And then my last question or my follow-up question is can you talk about I guess provisions for bad debt, where you took that? I'm assuming you probably took more in JLG, so how much was that and did you take any in other segments?
David M. Sagehorn: Jamie, I think we've got them all here. In terms of other inventory, we do have opportunities we believe at other segments, but as Charlie mentioned, we do expect some stronger sales in the second half of the year at some of our businesses that will mute some of what we're seeing in other businesses. We aren't going to give a target for where our inventory levels are going to be.
Jamie Cook – Credit Suisse Group: Do you think about $50 million to $100 million in aerials is probably a reasonable ballpark?
David M. Sagehorn: Yes, I think that's a reasonable ballpark.
Jamie Cook – Credit Suisse Group: And then on the receivable side?
David M. Sagehorn: In terms of DSOs, I think probably consistent with where we are currently would be, if you're looking to model something out, I think that's probably the best advice I can give you there. And then in terms of bad debts, we did increase the reserves at JLG in the quarter. They weren't anywhere nearly as significant as the charges we took, though, in the first quarter and we think we have appropriate reserves based on our view of the…
Jamie Cook – Credit Suisse Group: And was that all in Europe, where you took the provision for bad debt there?
David M. Sagehorn: During the quarter?
Jamie Cook – Credit Suisse Group: Yes.
David M. Sagehorn: It was kind of in the overall general reserve area. There were, I think, one or two smaller specific reserves and I think one was domestic and one internationally.
Operator: Your next question comes from David Raso – ISI Group.
David Raso – ISI Group: The interest expense, you noted it would tick up in the next quarter. Can you give more specific guidance, what kind of range you're looking for, for the third and fourth quarter?
David M. Sagehorn: I guess, David, probably the best thing I can do there for you is if you look at where our debt balance was at the quarter, we do expect that we will be cash flow positive in the second half of the year. We aren't going to quantify how much we believe we'll pay down debt. But if you look at our debt at the end of the second quarter and then just factor in the incremental spread, that's probably about the best I can give you for guidance.
David Raso – ISI Group: I'm looking for a little more than that, I guess. Regarding the net debt draw down this past quarter, it's obviously pretty modest it was $22 million, what's the bogey for the full year? What's your target for net debt reduction?
David M. Sagehorn: We've not given a target for the full year. Again, we believe we'll be cash flow positive in the second half of the year, but we aren't going to provide a number on that.
David Raso – ISI Group: And the dividend suspension, was that, the amendment obviously restricts your ability how much you pay in dividends and repurchase and so forth, but was the suspension something you chose to do and you could have kept a low dividend or was it related to the amendment?
Robert G. Bohn: Yes, that's exactly it. This is Bob. We chose to do that, our board, and really focusing on cash preservation and paying down debt and we're going to be doing that, as well as looking at our inventories and really monitoring our cash flow as we get out of this recession.
David Raso – ISI Group: The fourth quarter, the EBITDA to LTM interest expense ratio, the 1.58, that seems like the covenant that maybe the toughest, I guess so to speak, the next stretch of quarters here. When I think about my model and that becomes close to being tripped in the fourth quarter, especially given some of the aerial losses we've seen in the Access business, is it more of a situation where you feel comfortable, when you amended that particular covenant, that you want to be tripping it again in the fiscal fourth quarter because of the cash generation? Are you paying down the debt or am I understating the ability for EBITDA the next couple of quarters? I know you don't have my model in front of you, but I'm just trying to, I just figured when you did the amendments, that would have been made easier if that wasn't even close to being tripped, but I know in my models it's kind of tight in the fourth quarter.
Charles L. Szews: From our perspective here, we're going to do whatever it takes not to have to go back again, and that's why we have all these plans in place with what we're doing with inventories and costs reductions and that. It's hard to predict what next month is going to be or the next six months, with this recession that we're in that's very deep, but when we look at our fire business, our refuse business, and our defense business, we're working hard to get through this.
David Raso – ISI Group: End of the day, the net debt should not be where it is today at the end of the fiscal year, correct? I mean this is not a story about as much EBITDA as it is debt net debt number and less the interest expense should be coming the net debt should be going down the next couple of quarters.
David M. Sagehorn: As we said, we believe we'll be cash flow positive and we believe we're going to get through the covenants.
Charles L. Szews: And you've got to remember, also, that as the year progresses and our defense business strengthens we just received this $122 million order for axles under MRAP vehicles and that really starts to kick in in the second half of the year and so we've got some positive things here that make us feel better about the rest of the year.
Operator: Your next question comes from Jerry Revich – Goldman Sachs.
Jerry Revich – Goldman Sachs: Given the leadership change in defense, I'm wondering if you could please talk about new initiatives that you're focused on based on your TAK-4 suspension sales. It sounds like you might be going after a wider range of opportunities.
Charles L. Szews: We're not going to be too broad about this, we'd prefer to get further down the path in some of our boarder initiatives, but certainly you mentioned a great one. Our TAK-4 Independent Suspension is the best independent suspension there is in the world for medium and heavy payload trucks, and plus we've now got another generation for lighter vehicles. So it's an awesome suspension. If you need to go off-road in a terrain like Afghanistan, you want to be in a vehicle with our suspension. And I think the Joint Program Office certainly saw that for the Cougar MRAP vehicle we are in testing for another MRAP vehicle. We said that on the call we are hopeful that we can enter dialogue for some additional MRAP models. I think you've heard a lot of comments from different Army and Marine Corps officials about interest in putting independent suspension on the MRAP vehicles. We are going to pursue this. It's a very cost effective for the Department of Defense and it gets them a very, very capable vehicle. Now, that same independent suspension is what's under our M-ATV offering and that's another major effort that [Andy] is helping us on. We do expect that we're days away from the Joint Program Office awarding IDIQ contracts and we're obviously hopeful that we will be one of those to receive an IDIQ contract. Then we expect some additional testing of the vehicles, don't know exactly what that testing might entail, and then there would be an award in late May or June. So, that's certainly an effort that's in front of us. We mentioned the Australian Defense Forces. We have our vehicles now running around the country of Australia for the next nine months in various conditions, on-road, off-road trying to perform various missions. We do think that our vehicles have performed very well in test. And because they want a vehicle that's more off-road capable and we'll pursue other opportunities like these around the world where we can take advantage of our mobility capability because the soldiers are realizing that they can't really have these great big heavy vehicles and they've got to be able to go where the fight is and the fight isn't always running down the highway. So, we're going to be very aggressive in all those fronts.
Jerry Revich – Goldman Sachs: Charlie, can you please talk about some of the other foreign military opportunities that are on your radar screen and if you have any interest in competing for the ECV2 competition.
Charles L. Szews: We prefer not to be too leading with our tune in terms of where we want to compete. It just feels better to us to work on an effort and at the appropriate time announce what we're going to do.
Jerry Revich – Goldman Sachs: Lastly, Charlie, can you please talk about post the U.S. pullout of Iraq if you see potential for the FHTV sales to go into the Iraqi military beyond the pullout date.
Charles L. Szews: Certainly, that's something that we're looking at as potential sales of our heavy fleet into the Iraqi Army. I do think that we're also going to see quite a few troops stay in Iraq and Afghanistan for some period of time. I mean you've heard lots of different comments about the difficulty the intent to pullout but ultimately we're going to still be supporting their region for some period of time.
Operator: Your next question comes from [Chris Waltzer] Robert W. Baird.
[Chris Waltzer] Robert W. Baird: I wonder if you could talk a little bit about pricing and in the JLG business particularly how much of a headwind you're seeing right now.
Charles L. Szews: Pricing, I suppose, is mixed. It's not easy, if it's a bit deal everyone is sharpening their pencil, our competition and ourselves, to be able to work on any big opportunity. We're fortunate we are a preferred supplier to many customers around the world because of the capability of our vehicles, as well as the aftermarket support. So we tend to have an opportunity to look at the end of the transaction and if it makes economic sense, we're there.
[Chris Waltzer] Robert W. Baird: I guess what I'm trying to ask is if pricing were to stay where it is now and once the material costs completely roll through would you be at a net neutral impact for material costs there?
Charles L. Szews: Our belief is that if material costs come down here over the next couple of quarters that this is going to be a net benefit to our earnings. We don't think that we're going to have give that back. We never got the price increase for the higher costs that we've had to bear so we don't see where we should have to give back any price because these costs have come down.
[Chris Waltzer] Robert W. Baird: My follow up is you've got several defense opportunities I guess coming to fruition here competing in these, obviously, costs money and requires you to have some spare capacity. Assuming you're not successful on all of these projects, is there an opportunity to take some cost structure out of the defense business for next year?
Charles L. Szews: Well, we think our volume in our defense business is going to be strong next year regardless of additional opportunities.
[Chris Waltzer] Robert W. Baird: Does strong mean up year-over-year?
Charles L. Szews: It's early to say but we were expecting a strong year again defensively. Give us another quarter or two I'd like to see the president's budget I'd like to see the supplemental get passed.
Operator: Your next question comes from Walter Liptak – Barrington Research.
Walter Liptak – Barrington Research: I just wanted to get the timing straight, in the press release and the discussion today you've got a reduced outlook for 2009 primarily JLG I would think, and correct me if I'm wrong, but is this the same outlook that you took to the banks when you amended the credit or are you talking about, can you just talk about the timing?
David M. Sagehorn: Walt, in regards to access I think our outlook compared to what we went to the bank with is lower, but we do have a much stronger outlook on our defense segment since that time and I think our outlook is even stronger overall in our fire and emergency business. We've also implemented additional cost reduction since we went to the bank, so there's a number of plusses and minuses here.
Walter Liptak – Barrington Research: Okay and the covenants do look tight. I wonder was it prohibitively expensive to get them, I mean what went on in the discussions to get to the covenants that you've got now.
David M. Sagehorn: A lot of discussions but overall, as we said in the prepared remarks, the time we went if you'll recall we started discussion in early January and it wasn't a real conducive time to be having those discussions. There is cushion built into the covenants, but it's not a situation where you can just get the agreement signed, put it in a drawer and forget about it. We do have to be diligent, look at it, which we're doing, do whatever we can, make sure we're in on all the deals to get sales, make sure we're managing our costs effectively and make sure that we're driving debt reduction. And that's what we're committed to every day when we come into work.
Walter Liptak – Barrington Research: We're getting pretty late in the call so I wonder if you'd let me do one follow up, which is [Andy Ho] could you talk a little bit about his background. Has he worked on MRAP previously?
Charles L. Szews: [Andy] did not. [Andy] comes to us from [BAE] where he worked in [inaudible].
Robert G. Bohn: Operator, we'll go two more questions.
Operator: Your next question comes from Charlie Brady – BMO Capital Markets.
Charles Brady – BMO Capital Markets: Bob and Charlie, with respect to the interest expense again, just help me understand you've got it looks like $1.2 billion or so on a swap, correct, at LIBOR plus 5 something?
David M. Sagehorn: Yes.
Charles Brady – BMO Capital Markets: That is constant through the end of '09, correct, before it steps down?
David M. Sagehorn: Yes, it steps down in December, Charlie.
Charles Brady – BMO Capital Markets: And then the rest would be at this new revived rate via the covenant amendment, correct, we'd all be at that rate essentially?
David M. Sagehorn: Essentially, yes.
Robert G. Bohn: Charlie, its LIBOR plus 6 so LIBOR was 5.1 at the time when the swap was done.
Charles Brady – BMO Capital Markets: So, you've got $1.2 billion at about 11 something, roughly.
David M. Sagehorn: Yes
Charles Brady – BMO Capital Markets: Just a follow-up, can you give us an order of magnitude on the commercial segment on the refuse business and the concrete mixers sort of where those orders stand in terms of order of magnitude, how much they're down.
David M. Sagehorn: From the peak they're down…
Charles L. Szews: Concrete placement is down 90%, 95% from the peak, which would have been two or three years ago. So that's how difficult it is on a relative basis year-over-year it's not as big a percentage, obviously, but if you go back to peak in 2007 we're looking at a 90%, 95% downturn in concrete mixers. In terms of refuse collection vehicles domestically, if you look at full fiscal year over full fiscal year it's flattish right now.
David M. Sagehorn: Yes, flattish to down maybe slightly.
Operator: Your final question comes from George Gaspar – Robert W. Baird.
George Gaspar – Robert W. Baird: On the outlook on short-term and having your equity at $72 million range $73 million range currently, based on how you view the short-term with the potential that that could go lower, assuming losses in the next couple of quarters at least, and getting back to the covenants discussion, a sharp decline and shareholder equity is that going to cause further variables in terms of the covenants requirement on the interest side of your agreements.
David M. Sagehorn: No, that has no impact at all on anything within the credit agreement.
George Gaspar – Robert W. Baird: Secondly, on this new suspension system for MRAP that you're going to be delivering basically, as you mentioned, for Force Protection units, is that delivery underway?
Robert G. Bohn: Delivery is immanent, let's put it that way, to start the contract at a lower rate and then it starts to ramp up. And to say new, it's not really new. We have this independent suspension system operating under over 10,000 medium tactical vehicle replacement vehicles for the U.S. Marine Corps. We have it under the logistic vehicle system replacement for the U.S. Marine Corps. We're now putting it under the Palletized Load System for the U.S. Army. We have it under Pierce fire trucks here [inaudible] fire rescue and firefighting vehicles. It is well tested. It has been tested by the Department of Defense by over 400,000 miles, much of which was to a 70% off-road mobility requirement. So, this is a very, very robust endurable system.
George Gaspar – Robert W. Baird: So, basically what you're saying is that the delivery to Force Protection is very similar in nature to what you have been producing and there's no variables on it.
Charles L, Szews: The only variables would be that the way it mounts the vehicle, the mounting brackets and things like that are going to change a little bit because of the shape of the vehicle, but those are minor. The U.S. Department of Defense has tested the vehicles with the new mounting brackets to make sure that it's going to operate the way it's intended. And we can tell you that it's improvement in the vehicles is very impressive.
Robert G. Bohn : In closing, our big four JLG, our defense business, our McNeilus and our Pierce are just great franchise businesses and led by very strong and very capable presidents. We're going to continue to focus on new products for our customers that they desire and value, even during these difficult times. And continue to exceed our customer's expectations and service and reliability of our products because we simply build the best products in the world and have the best distribution and the best service network. We will continue to manage our cost as you have seen. We've got opportunities to continue to reduce our inventories that Dave and Charlie talked about and we are absolutely focused on cash flow and we will get through this recession and be a much better, much stronger company whenever we get out of it. Thanks a lot for your interest. Have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.